Ulf Riese: Good morning everyone and welcome to this Conference Call for the Fourth Quarter 2015. Joining me today I have Mikael Hallaker, Head of IR; Lars Hoglund, Head of Debt IR; and Jörgen Olander, Group Head of Accounting. And the slides used for my presentation are as usual, available at handelsbanken.com. First of all, as in my previous presentations slide number three, updated but still looking the same. 2015 was the 44th year in a row where we fulfilled our Company goal having a high ROE than the average of our peers. The distance to the peers was also big enough to imply a full Oktogonen allocation for the year. And as you can see from the slide, once again, the value creation of the Bank, equity per share including dividends continued in the fourth quarter with an annual increase of 15%. Handelsbanken achieved the highest operating profit ever during 2015. Return on equity increased to 13.5% for the full year and reached 14.8% in the fourth quarter. The board has proposed an ordinary dividend of SEK 4.50, an increase by 8%, and in addition, an extra dividend of SEK 1.50. After deducting these, core equity tier 1 ratio still increased to 21.2%. As before, we have the most satisfied customers in our home markets. And the stable growth in our growth markets continued both in the fourth quarter where we also started to see more demand and activity for us in the Swedish corporate sector. Net commissions continued to have a good development also in 2015 with a 9% increase. We work hard here to develop this business further and we see a large potential in all our home markets. The personnel cost increase in the fourth quarter is totally explained by the allocation to Oktogonen. This also explains why personnel costs in the quarter were higher than market expectations. The total cost increase in the year is related to our expansion in the growth markets. In Sweden, although costs were down 1% in the year, we see further opportunities in terms of reducing costs. Credit quality remained stable and loan losses decreased in 2015. And after Moody's upgrade during the year to Aa2, we also have the highest credit rating of all comparable banks. Moving to slide number five, you can see the profit and loss for the full year 2015. Operating profit increased by 7% year-on-year, the highest full year profit ever, also when adjusting for extraordinary gains. Net interest income was up 2% year-on-year as well as compared to the third quarter. The highest growth here was seen in the UK with 31% but there was growth also in the Netherlands and Denmark, while in Sweden, Norway and Finland net interest income decreased. Net commission income improved by 9% year-on-year and 2% quarter-on-quarter. This upturn was driven by a range of areas where asset management, payments and advisor fees all showed strong improvements during the year. Net gains and losses on financial transactions rose by 47% in 2015. But if you adjust for the gain made on divestment of SCA shares in the fourth quarter and for extraordinary gains made in 2014, this line was more or less unchanged. Revenues all-in-all increased by 5% in the year. Personnel costs rose by 7%. And here, the 3 percentage points of the increase were attributable to currency effects and 2 percentage points to the IAS 19 pension impact. That item will be negative also for 2016 but will turn positive in 2017, if interest rates are unchanged or higher. Excluding these items, the underlying increase in personnel cost was 2%. And in the quarter, personnel costs were down 1%, if you adjust for the Oktogonen allocation. Other administrative costs were down 1% in the year, adjusted for currency effects. Total costs increased by 5% in 2015 but adjusted for currency the increase was just under 3% and was due to our expansion in the UK and the Netherlands. Loan losses decreased by 10% and the full-year loan loss level was 9 basis points, down from 10 basis points in 2014. Impaired loans level was 21 basis points, down from 25 basis points one year ago. And the credit quality remained stable. All-in-all, net result for 2015 improved by 8% compared to 2014. Then moving on to slide number 26, we show the sequential development of net interest income, an improvement of 2% or SEK 137 million in the fourth quarter. Again, interest rates in Sweden continued to fall in the quarter and reduced net interest income by SEK 93 million. Increased lending volume added $119 million, quite evenly spread between Sweden and the other home markets. And in the fourth quarter, corporate lending in Sweden started to increase together with a continued growth in the mortgage business. Lowest [hedge] (ph) fees this quarter added SEK 149 million to the net interest income. And here the smaller balance sheet at the end of the quarter means that the fee we will pay to the stabilization fund for 2015 is lower. The balance sheet at year-end will also be the base for the coming new 9 basis-point resolution fee that we will pay in 2017, and that will impact net interest income that year. Currency and benchmark effects reduced net interest income by SEK 79 million, but we had other positive effects of SEK 75 million, where the main explanation is the favorable funding costs our treasury team obtained in the quarter. Now, back to slide number seven, during 2015 average lending volumes in the Group increased by 6% or just over SEK 100 billion. This was primarily driven by our growth strategy in the UK and Netherlands. But we also saw some good growth in the Nordic countries. The blue bars in the chart show the quarterly net interest income contribution from new lending volumes since 2013. And as you can see, the growth rate is stable and rising. The way we build the Bank generates new business volumes which improve the underlying net interest income, and this is done with stability and low volatility. The red bars show the impact of falling interest rates on deposit margins in Sweden. And as you can see, that impact takes away more than the positive contribution from our new business volumes in the Group, in this period. In the last two quarters however, there has been a small net positive contribution from the volume growth. A larger positive and much more visible impact from our growth strategy should come at the stage when interest rates stop falling further and the downwards pointing bars in the chart will disappear. Then of course, the positive impact will gradually increase further, when we have a situation with rising rates. On slide number eight, you can see that 2015 was another year with a positive development for our fee generating business where we constantly increased our efforts. In Sweden, the Bank had the largest net inflows into mutual funds of all fund providers with a market share of 31%. This can be compared with our market share of the total Swedish mutual fund stock which is 11%. Mutual fund fees in the Group rose by 21% in 2015. Looking at the sum of fees from mutual funds, other asset management and insurance, the level in the fourth quarter represents an increase of 57% in the last three years. Net commission income from the card business rose by 10% in the last year. During the fourth quarter, we -- those saw an impact of lower interchange and service fees. New prices on annual card fees however will become effective from 2016. Looking at the market shares for our Swedish card business, we can see that it has continued to increase in 2015. All-in-all, net commission income improved by 9% year-on-year and 2% quarter-on-quarter. And we will work hard to continue to develop the fee generating business, and we see a big potential for the Bank here on all our home markets. On slide number 10, you can see our cost development in the Bank since 2013. And as you can see here, the increase of expenses the Bank has had since 2013 has taken place in our growth markets, the UK and to some extent the Netherlands where we have opened up significant number of new branches and invested further in our product offering. On the other markets, costs in fixed currencies were down 2% in 2015 compared to 2013. One example is the branch office operation in Sweden where cost income ratio in 2015 fell to 35.2% compared to 35.8% in 2013 in spite of the sharp decline in interest rates. Scrutinizing costs is natural in Handelsbanken and even more so in branches and markets where there is a headwind on the revenue line. And I think this slide illustrates that quite well. Needless to say, we are never satisfied but know that there is more we can do also when it comes to costs, and we will focus even more on reducing costs in Sweden, going forward. Our balance sheet is shown on slide number 11. And as you can see, it has continued to strengthen. The board has proposed an ordinary dividend increase of 8%, amounting to SEK 4.50 per share and in addition, an extra dividend of SEK 1.50 per share. This proposal corresponds to a payout ratio of 70%, although this is not a goal in itself. Taking the proposed dividend into account, the core equity tier 1 ratio increased to 21.2% from 20.4% one year ago. In the latest assessment, the Swedish FSA recommended the Bank to hold 18.6% core tier 1 at the end of Q3 2015. The Bank is therefore within the targeted range for core equity tier 1. The model we use for the discount rate to calculate the Swedish pension liability means that we -- in contrast to some other Swedish banks, we have not increased but rather decreased the rate in Sweden. It has been decreased to 2.25% from 3% during 2015. If the market interest rates remain on current levels, our discount rate will gradually rise in 2016, which all else equal, will have a positive impact on our core equity tier 1 ratio. And the core equity tier 1 requirement I think is likely to increase further for the Bank due to measures already decided or considered. I'm here thinking of increased countercyclical buffers in Sweden and Norway and also maybe potential changes in risk weights for corporate lending. As we have described for many years now, the Bank as a flight-to-quality receives huge volumes of short-term institutional deposits that we deposit in central banks. And we have also highlighted, this is the position we can very easily shrink without any impact on our liquidity ratios. And to show this in practice, we decided to reject some volumes of these deposits before year-end while still keeping a liquidity reserve of over SEK 800 billion. As you can see in the table, our LCR was unaffected and well above the 100% minimum level. And our NSFR at the end of the year stood at 100%. And in case you're interested in leverage ratio, you will also notice that as a result of the smaller cash position with central banks, leverage ratio increased to 4.4%, up from 3.8% at the end of the third quarter. To me, this really shows that the leverage ratio is a very blunt measure that really doesn’t tell you anything about the true capitalization of a bank in relation to its risk position. Then turning on to slide number 12, we compare the capitalization and the return on equity in 2015 with 2011 level. In this period, our core equity tier 1 ratio increased from 15.6% to the current 21.2%. Equity in relation to total assets has in the same time increased from 3.9% to 5.1% at the end of 2015. And still, with this massive increase in risk-adjusted as well as non-risk-adjusted capitalization, return on equity has remained stable around 13.5%. Needless to say, back in 2011, the interest rate levels were of course much higher than today’s negative rates. I think this is another way of showing the efficiency of our business model and also the fact that it has become even more efficient over the years. Then on slide number 13, we show another perspective of our return on equity over time. We here compare our return on equity with the 10-year Swedish government bond rates to find out what premium over the risk free rate the Bank has generated over the business cycle. And as you can see, the difference between the return on equity of the Bank and the risk free rate has been stable throughout this very turbulent period. The premium generated by the Bank was as high in 2015 as in 2007, 13%. The nominal return on equity has only moved in line with the 10-year risk-free rates. This very stable premium over the years I believe is a good reflection of the stability of our business model. The model has handled a very volatile environment and higher and higher capital requirement. And the Bank has, in spite of this, been able to keep the profitability premium intact. Slide number 14 is another slide showing the very low risk profile of Handelsbanken. In this case, the slide is based on the results of 2015 EBA transparency exercise. The numbers shown in the slides are non-performing loans and loans with forbearance measures, as reported by the Bank to EBA. As you can see, Handelsbanken is far outright with the lowest share of such loans of all presumptive banks. This of course should be no surprise to anyone, but I think it’s interesting to note is the quite dramatic differences also between the banks that are in the lower end compared with ourselves. Currently, this difference in credit quality is not really visible when looking at loan losses. Most banks in this part of the business cycle have low loan losses. But we all know that there will be times when loan losses are back in the system, again. And this slide shows -- I think as a reminder, pointing to the very high quality of Handelsbanken’s credit portfolio. This typically becomes more visible in crisis times when our low loan losses are contrasted to the significantly higher levels many banks then experience. Of course also in the ongoing debate regarding risk weights in the IRB models and why risk weights differ between banks, I think this slide should be quite clarifying also in explaining why some banks such as Handelsbanken rightly have lower risk weights on the exposures than certain other banks. On slide number 17, you can see our development in the UK, which continues to be strong. Operating profit in 2015 increased by 36%. Net commission income continued its growth and in the fourth quarter that represented 9.5% of total revenues, up from 8.5% in the third quarter and 3.3% the year ago. And still with this relatively low share of fees and commissions and continued investments, return on equity for the full year reached 17%. Including appointed branch managers, we now have 206 branches in the UK and at the same time more and more of our branches are entering into the vintage of being older than four years. And that means that the profitability improves and that you can see from the slide. And it also means that going forward existing branches will provide an even more meaningful share of the growth in the UK. And it goes without saying that we continue to be optimistic about our vast opportunities in the UK markets. So to summarize, the very stable development of the Bank continued also in the fourth quarter. Equity per share including dividends continued to grow by 15% per year. The full year operating profit increased by 7% and was the highest ever for the Bank, also if you adjust for extraordinary gains. Net interest income increased by 2% for the year as well as the quarter, and the year ended with a high business activity and with a good trend also in Sweden. Fees and commissions rose by 9% year-over-year and 2% compared to the third quarter. The Bank had the largest net inflows into mutual funds of any mutual fund provider in Sweden with a market share of 31% in 2015 and with mutual fund fees rising by 21% in the Group. And here, there is still much more we can do to further improve our fee generating business. Looking at the cost development, expenses outside our growth markets have declined by 2% since 2013. We will focus on further reducing costs in Sweden going ahead. And credit losses and impaired loans fell in 2015 and the credit quality remained stable. Full year return on equity on a Group level was 13.5%. UK had the highest return, 17%, followed by Sweden with 15%, in spite of negative interest rates and weak corporate loan demand for most of the year. 13.5% ROE represents the same premium over the long risk-free interest rates as back in 2007. The board is proposing an ordinary dividend of SEK 4.50 per share and an extra dividend of SEK 1.50 per share, corresponding to a payout ratio of 70%. After deducting this, the core equity tier 1 ratio at the end of the quarter was 21.2%, up from 20.4% one year ago. And with that I conclude my presentation and open up for questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Jan Wolter from Credit Suisse. Please go ahead. Your line is now open. 
Jan Wolter: Good morning, Jan Wolter here at Credit Suisse. Thanks for taking the questions. First, what is the Bank’s view regarding the marked increase in the share of new Swedish mortgages? I think if we look at the statistics, we can see that Handelsbanken took 27%, 28% of the new mortgage production in the fourth quarter vis-à-vis the more normal level which we’ve seen historically of 20%, 22%. So that’s my first question, please.
Ulf Riese: Yes, thank you for that. I think that you shouldn’t put too much into the figures actually. As you probably know, there are some technical things I think with the statistics. There are other volumes coming in from nothing in December and there also happening strange things that I don’t understand in November and so on. So for all practical purposes as you know in our system, it’s the branches that choose how to go about the combination of old pricing and taking in clients and so on. And so, we don’t have any sort of central view on how to go about that. From a sort of overview or strategic long-term view, I mean we have no ambition to increase our market share in lending neither in mortgages nor corporate lending. So, there is no intention behind it.
Jan Wolter: And then around capital under special dividend, I think Handelsbanken had previously stated that capital repatriation over and above ordinary dividends normally require the bank to be above its capital target range. And although we understand it's not a strict rule, what made the bank deviate from that principle this year?
Ulf Riese: No, I think that's a misunderstanding. What I think we've said is that we have our capital goal, and if we are outside of the range of the capital goal, we will communicate what we will do because of being outside the range. But this is the ordinary and yearly decision on the dividend level and where we of course look at our total situation and the Board proposes a dividend. And that is the result you see here. So this decision is not made by any automatic rule, but of course the fact that we are within our target and you can say at the upper end, towards the upper end of the target of course has impacted the Board's decision.
Jan Wolter: Thank you. And the final question also on the capital side. If we look at the capital consumption this quarter from lending growth, lending growth is still fairly low; that was around 40 basis points in the presentation and earnings is building capital by around 10 basis points after dividends. So how does the management and the Board look at these numbers? Is the Board and management happy with capital being consumed because the bank is growing profitably in Sweden and outside Sweden? So that would mean the capital ratio is coming down everything else equal. Thank you.
Mikael Hallaker: Thank you. Well, the way we work is that the branches and the regional banks, they do the business, we sum it up, we follow it of course extremely closely what's happening and then our capital planning is then done according to that. So we are not steering the way around saying this is the capital we have, you can only do this kind of lending. But from an efficiency point of view I think it's interesting to see in our first slide the category that we have been for considerable amount of time growing 15% and still building capital. And as you know, we have had the payout ratio the last couple of years in the range of 73%, and this year it happens to be 70%. But as you also know, that there is the payout ratio is residual. We are -- it is -- our capital strategy is very easy to understand. First of all, of course we should be compliant with the regulation. Secondly, of course we want to make sure that we have got all the capital needed for our expansion because we know that it's such a profitable thing for our shareholders. And thirdly, if there are extra capital and above that, we are of course happy to distribute that because our Company goal is to have higher ROE than the average of our peers.
Jan Wolter: Okay, very clear. Many thanks for your help.
Operator: Thank you. Our next question comes from the line of Anton Kryachok from UBS. Please go ahead your line now open.
Anton Kryachok: Good morning. And thank you very much for the presentation. Just two questions please. The first one on net interest margin on the Swedish mortgages, I think you have reported a 1 basis point drop in net margin this quarter. But if we look at your listed advertised prices as well as average achieved prices over Q4, it looks like they have been stable to at least increasing. So can you please elaborate a little bit what is driving the 1 basis point margin compression on the Swedish mortgage margin given that interest rates have fallen? Thank you. And the second question please is on capital. You've commented in the report that there were negative 40 basis points impacts in capital build this quarter from other. I was wondering if you can just elaborate a little bit more on this. Thank you.
Ulf Riese: Yes. Thank you. Well, on the mortgage margins the 1 basis point you shouldn't over-exaggerate that effect. I mean, it's also a rounding effect, so it's flattish. The least -- the system has, as you may know, in our system is that the branches sets the prices. But of course there is also the list price system of Sweden, all banks put out list prices. And that is of course the maximum price that the client can ever pay. But then there is often a rebate from that price. And deducting the rebate you come to the actual margin. If anything, I think if you look at the list prices we were maybe a little bit later than some others of all hiring those least prices. But really what really matters when it comes to this margin, you see the 103 basis points is really how our branches deal with the prices towards the clients. And then we sum it up. So I haven't got any more intelligent answer than that because it's really not scientific, it's a handicraft out in all the branches. And it varies quite a lot actually from branch-to-branch in different parts of the country.
Anton Kryachok: Thank you. And have you changed --?
Ulf Riese: The capital charges. There is an item of 40 basis points. There are some technical calibrations from validations and those kind of things in there. So that's the some of the effect that is not explained by the other the parts that we have broken up. Mikael, maybe you want to.
Mikael Hallaker: Yes, and Anton if I could just add, if you look at that number I think the deviation of that between quarters have been roughly 0.4. In Q3 it was a positive 0.4 and not it was negative 0.4. We talk about maybe 12, 15 different smaller items that add up. So I think it corresponds to roughly 2% of the core tier 1 ratio, and I think that's what you could expect in normal deviation between quarters.
Ulf Riese: And I think also it might be interesting to know about the 0.4 is to the larger extent more of a conservative estimate safety margin adding effect if you look at from a top down approach when you look at these 15 items.
Anton Kryachok: Thank you, that's very clear. And just to confirm on the mortgage margin side, you haven't changed the way how you charge your branches, the funding cost that you charge for your branches.
Ulf Riese: The funding cost to the branches is exactly the same. The prices vary of course from day-to-day when the market rates change.
Anton Kryachok: Okay. That's clear. Thank you.
Operator: Thank you. Our next question comes from the line of Yazi Hun [ph] from Citi. Please go ahead. Your line is now open.
Unidentified Analyst : I have two questions. The first is on net interest income and the second is on the UK. If I were to look at the Page 6 of the slides deck, this quarter the contribution to stabilization funds to net interest income is less negative than other quarters. Is this going forward, is this the level that we should expect for the net interest income or is it more of a one off. And then just follow up on net interest income as well, is the sensitivity on the interest rate movement above 20 bps, every 20 bps change about 100 million change to a net interest income? Does that the sensitivity still hold? And then I will come back on the UK question. Thank you.
Ulf Riese: Right. Thank you for that. As you've probably seen from the figures, at yearend, the balance sheet is smaller. And that has to do with the fact that, as we're on a fly-to-quality, which means that we attract lot of U.S. dollar institutional deposits, and that our short term deposits we don't use it for funding purposes we put it directly in the Central Bank. But then of course at year end it's not of big meaning to have those volumes on the balance sheet. And we have talked long time about our ability to take those amounts down quickly if it would be needed, for instance, in a leverage ratio context. And we've done that at the yearend; you can see the leverage ratio it stands now at 4.4% for instance. There is also an effect on the stabilization fund fee. The Swedish stabilization fund fee is the last time you will see now, and that was calculated afterwards. So the volumes at yearend 2015 was the calculation for the 2015 stabilization fee, 3.6 basis points. And since the volume of the balance sheet went down then the number here as you see went down. As from 2016, that the stabilization fund will instead be what's called a resolution fund fee and there the metrics is that is calculated on the balance sheet two years back in time. So the 2016 charge will be based on the end of 2014. And for 2016 there will be half a fee. The full fee is 9 basis points. But then also it is said that the resolution fund fee will be risk adjusted. But the legislator has not revealed how that risk adjustment will be. So it's a little bit uncertain what the resolution fund fee will be in 2016. It will be half and that is corresponding about the same as the stabilization fund since the full resolution fund fee is double the stabilization fund fee. It will be risk adjusted they say, we don't know about that. The legislation is also a bit late. So maybe it's only 11-month effect, instead of a 12-month effect we don't know about that. But it's certain that it will be calculated on the balances two years ago. And that means that the balances you see at the end of 2015 is good news for the resolution fund fee for 2017 and that is for certain.
Unidentified Analyst: Okay. That's clear. And on the sensitivity net --.
Ulf Riese: Yes, you will have a very thorough report on our interest rate risk in the whole Group in the Pillar 3 report that will come out. But I don't reveal any secrets when I say that the interest rate risk in the bank is very, very small except for one item, and that is what's happening with margins on deposits. And you can see the effects, and we have published a lot of charts. We also have one in this kit [ph], what will happen to -- what has happened with when interest rates goes down on that margin which is now in Sweden negative, what will happen there. And you can see from the slide, and that is slide number 26. You can see the effects you have in Sweden from margins in the fourth quarter, you have SEK 90 million negative effect and then you should maybe compare that with STIBOR, average STIBOR going down 9 basis points in the quarter.
Unidentified Analyst: Okay. That's very clear. If I can follow up with one more question on the UK I notice that in 2014 the loan growth rate was about 30% and then it slowed down somewhere to about 14%. Are you reaching a stage where we should see more stable growth in the UK business? And what about your investments in the business, is it going to also coming down in 2016 and 2017?
Ulf Riese: Well, we have one chart showing the development in the UK, and slide number 17. When you look at the development quarter by quarter, it can go down or could go up a little bit. If you look at the result, it went up by 36% year on year or 19% if you look in local currencies. And we will also find that the volume growth figures are about the same if you take away rounding effects and so on throughout the years. But you can get some deviations of course during the year. And the fourth quarter again when it comes to balance sheet at year-end it could out some effect. So all in all what you asked for, how do we look at the UK, we are still as optimistic as we've been in the past and it looks very good. And what we see is a good business. We will continue to open branch offices. We have also communicated that it's natural that over time since we have started so many branch offices more and more of them will become older. Of course all of them will become older, and that means that more and more of the profit will come from existing branches. So it's not only the new branches of course that you should calculate on but also the existing. And the mathematic works that as you grow of course more and more of the total combined growth is coming from the existing branches.
Operator: Thank you. Our next question comes from the line of Daniel Do-Thoi from JPMorgan. Please go ahead, your line is now open.
Daniel Do-Thoi: Just two questions for me, the first one was on the leverage ratio and the second one on the FSA reviews of quarter risk rates, just on the leverage ratio and then the increase to 4% at the end of the year. Just wondering whether that is just the year-end seasonality relating to the stability fee calculation which should then reverse in the first quarter or should we instead expect it operate at this kind of level, so well above 4% also in the interim quarters going forward? And then the second question was on the FSA review. You highlighted in one of your slides the lower historic loan losses, which goes some way to explain the lower risk rates that you have versus peers. But I suppose the same could also be said about your mortgage exposures and yet the 25% plus and applied fairly crudely across the banks by the FSA. So I'm just wondering how concerned are you that whatever comes out of the FSA review won't adequately differentiate between the underlying differences in credit quality? Thank you.
Ulf Riese: Yes, thank you for those questions. Well, the 4.4% in leverage ratio is something that we can, as you've seen, very easily make come true. We've shown that. And we can grow of course a lot further to that. But the thing is that there is no rule about leverage ratio and ourselves before it comes and erodes, we are totally uninterested in the leverage ratio because it’s such a blunt and really crazy measure not looking at the risk. So operationally speaking it’s a total meaningless measure. But of course if there comes a regulation that, this is important or if we start feeling that a lot of people would not take the interest in how risky our balance sheet is but only looking at the total size of the balance sheet, then it can have some meaning. So we really wanted to show that this is not something that concerns us. So we will follow the number but we have no, certainly no goal or so for it. But having said that, if the authorities make a decision that, yes, this is an important number. Of course as you can see from what we've done at year-end, it's very easy for us to adopt.
Daniel Do-Thoi: Can I just, sorry, can I just --.
Ulf Riese: And to say, risk weights is an interesting question. The situation, as you may know, is that FSA has stated that they look into all the banks models and they are concerned from a general point of view that Swedish Bank’s risk weights have gone down over the years. And they are not saying that is wrong because of the development, because there has been less and less credits and losses in the system. But what they claim is if this is a reflection of approved, looking forward I think. So from a technical matters, they will use I think whatever they can to try to get risk weights to be larger on an institute-by-institute basis. And then they have also said that they will come out with thoughts on the matter in a more general way during the spring. There have been rumors about the M factor, which is of course an important part in the Basel formula. If you set the floor on the M factor, the M factor is the duration of the credit, for instance, saying that regardless of the duration of the credit you should always minimum calculate M factor as a three-year or four-year or whatever, it will get an impact on the risk weights. So this is what we know. We anticipate something to come out during the spring. We don’t know what. So it’s very much of course a political question, how far you, they want to go. As you say, they’ve already done it when it comes to mortgages. From a bank, you ask how concerned are we. Well, if something comes the numbers will change, but the bank will be the same, the risks will be the same, and we will of course adopt and apply the rules there are. But it’s not a threat to our business model or the way the bank works. As you know, we have a very good capitalization. And if you compare it with the real risk in the bank, we are also generating capital as we go along. And I think one very important factor that some analysts, probably not you, but some may miss is how important the funding markets are for banks today and become even more important because of the regulation going forward. And I can tell you that the funding market, they are not impressed by the leverage ratio, so they want to know what kind of risk the bank has in the balance sheet when they set the price on the bonds. And because of MREL, TLAC, all this regulation, it means that banks generally will have to much more of senior funding and, as opposed to deposits in their balance sheet which means that funding cost differences between banks in my view will be an extremely important differentiator going along. And the good news is that if you then have more capital you should always look at it in relationship to the risk, and you get it back on the funding cost. So all-in-all, we are very relaxed. That is not saying that we don’t think something will come. In my guess something will come. We don’t know anything about what it will be. But the good news is that it’s always good not to have credit losses because if you have it clients are not happy and you lose money forever. So regardless what the capital charge us, we will always have an advantage with our lowest credit losses with our peers during the cycle. So we are relaxed. But as with the numbers, they might change.
Daniel Do-Thoi: Okay. Thank you. Can I just follow up on the leverage ratio? You mentioned that there is a little bit more that you could do if you, should you need to. Could you give us any kind of numbers around that, i.e., how much further could you stretch the leverage ratio without impacting revenues?
Ulf Riese: Yes, we report last year, you will have a corresponding in this year's Pillar 3 report, you will see leverage ratio calculated without, for instance, mortgages and so on. So of course first of all we can do things that are extremely easy to do, taking away short-term deposits and central bank and where we put in central bank deposits as we've done during the year end, we can do that quite a bit more than we did at year end. We can also of course make sure that we take away parts of our balance sheet. We could also securitize parts of our balance sheet and so on. So in that table, if I remember correctly, you will end up with a leverage ratio of 8% or something like that. The important thing here is that the value creation in Handelsbanken. That comes from being nice to the clients and being low -- knowing the clients, making sure the credit quality is top notch. Having those assets on the balance sheet, that is not necessary. That's not where the value comes from. So this can be fixed. And of course this is a political decision, would you like to end up with something like the American system where mortgages and low-risk assets are not in the banking system but then actively traded as securitized bonds. And I think that’s -- the Swedish authorities, the ruling authorities, the Swedish FSA and the finance ministry and the national debt office those are of course the three that decides in Sweden on these matters. They have been very clear that they like the risk-weighting system. So I don't see such development very likely in Sweden so I have a very high leverage ratio demand actually.
Daniel Do-Thoi: Okay. That's very clear. Thanks very much.
Operator: Thank you. Our next question comes from the line of Adrian Cighi from Handelsbanken. Please go ahead your line is now open.
Adrian Cighi: Hi, this Adrian Cighi from RBC, thanks for taking my question. Two questions. One follow up on capital and one on loan losses. On Slide 28 you show a negative 20 basis points move in core equity tier 1 from credit risk migration. Yet there isn't any obvious deterioration in impaired loans. Can you help us reconcile the move? And the second question, a very helpful slide on the comparison of historical loan losses between Handelsbanken and peers. Any thoughts on a forward-looking outlook on loan losses especially in Norway, do you see any red flags coming up? Thank you.
Ulf Riese: Thank you. When it comes to credit risk migration in the fourth quarter, you're right, we had a small negative in credit risk migration. Although the effect from the volume migration, that is that volumes coming in is of better quality than the volumes going out, that was of course a much larger effect counteracting that. But you are right, there was a small migration, negative migration effect in the existing loan book. It was a migration in better risk losses from extremely good risk losses to nearly as extremely good risk losses so to say. So it's not changes in risky assets, if I may say so. And if we look at other measures like impaired loans, that is going down as you've probably seen.
Adrian Cighi: Right.
Ulf Riese: If you look at late payments, that are also going down. So there is no evidence in the quarter that we have a deterioration in the credit book when we add all these numbers. Loan losses in Norway, when we look at the portfolio we don't see any concerns or movements. We have communicated, as we have a very low direct exposure to the oil industry, we're talking about an on-balance exposure of about SEK 5 billion, and that is in good risk losses. So that is not something that concerns us. Then you can always coming into the whole picture of Norway, how far will the deterioration go and also outside the oil industry and so on. But that is another matter of course.
Adrian Cighi: Thank you.
Operator: Thank you. . Our next question comes from the line of Katrine Jensen from Danske Bank. Please go ahead your line is now open.
Katrine Jensen: Thank you, when do you expect to get clarity on MREL? And which liabilities do you expect to be able to fulfill it with?
Ulf Riese: Very good question, thank you. We expect this to be in the first quarter and the latest second quarter I would say. It's the National Debt Office that are in charge and working on the rules. When we look at what we expect and see and compare it with our situation, we don't foresee any problems with meeting the MREL things that will come out. But full clarity on the rules have not come yet, but is expected this spring and probably Q1.
Katrine Jensen: Okay. So do you expect to be able to use senior branch to fulfill it with?
Ulf Riese: If you ask me to guess, yes.
Katrine Jensen: Okay.
Operator: Thank you. As there appear to be no further questions I'll return the conference to you.